Operator: Good day, ladies and gentlemen and welcome to the Vicor Earnings Results for the Third Quarter ended September 30, 2014 Conference Call. My name is Maija and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to introduce your host for today, Mr. James Simms and Dr. Patrizio Vinciarelli. Please proceed.
James Simms - Chief Financial Officer: Thank you. Good afternoon and welcome to Vicor Corporation’s conference call for the third quarter ended September 30, 2014. I am Jamie Simms, CFO and here with me in Andover are Patrizio Vinciarelli, CEO and Dick Nagel, Chief Accounting Officer. Today, we issued a press release summarizing our financial results for the third quarter. This press release is available on the Investor Relations page of our website, www.vicorpower.com. We have also have filed a Form 8-K with the Securities and Exchange Commission in association with issuing this press release. I remind listeners this conference call is being recorded and is the copyrighted property of Vicor Corporation. I also remind you various remarks we may make during this call may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Our forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those explicitly set forth or implied in our statements. Such risks and uncertainties are discussed in our most recent Forms 10-K and 10-Q filed with the SEC. Please note the information provided during this conference call is accurate only as of the date of the call. Vicor undertakes no obligation to update statements made during this call and you should not rely upon them after the conclusion of the call. A replay will be available beginning at midnight tonight through November 5, 2014. The replay dial-in number is 888-286-8010 followed by the pass code 61723940. In addition, a webcast replay of the conference call will shortly be available on the IR page of our website. I will start this afternoon’s discussion with a review of our financial performance for the third quarter and the first nine months and Patrizio will follow with his comments after which we will take your questions. As set forth in this afternoon’s press release, Vicor recorded a net loss for the third quarter of $3.7 million, representing a net loss rounded up to $0.10 per share on revenue of $58.4 million. For the second quarter of 2014, we recorded a net loss of $4.8 million or $0.13 per share on revenue of $53.4 million. For the first nine months of 2014, we recorded a net loss of $13.9 million on revenue of $165 million, while for the first nine months of 2013 we recorded a net loss of $10.6 million on revenue of $143.9 million. This increase in revenue represents year-over-year growth of 14.7% with all business units showing improvement. Consolidated revenue for the third quarter rose 9.4% sequentially reflecting expected shifts in the makeup of total revenue. Turns volume increased slightly, but reflecting the overall increase in shipments fell to 38.1% of total shipments for the quarter from 40.5% for the second quarter, but well within the range of recent turns levels. The brick business unit recorded a 4% sequential decrease in revenue reflecting the expected end of a robust custom program. Our legacy modules business was stable for the quarter. VI Chip’s revenue increased almost $5.8 million more than doubling sequentially reflecting the increased bookings of the prior quarter. As we have previously discussed, a major customer in the datacenter space had been transitioning to our second generation solution for powering Intel server motherboards. This solution consist of a chip VTM from VI Chip and a SIP PRM from Picor replacing a solution comprised of earlier generation VI Chip, VTM and PRM modules. The shipments of Picor chips also doubled for the quarter with total Picor revenue coming in at $2.5 million, a record high. Recognized distribution revenue rose approximately 22% as long and underway designing efforts by our stocking distributors have started to yield results. Concluding on consolidated revenue, international revenue rose 9% reflecting a substantial increase in VI Chip and Picor shipments to Asian contract manufacturers. However, BBU exports fell by 5.9% as strength in China was offset by slower activity in certain regions of Europe. Vicor’s consolidated gross margin for Q3 improved both on an absolute and a relative basis reflecting the production efficiencies afforded by higher volumes of VI Chip production as well as the larger contribution of Picor with its fables model to the mix. Q3 gross margin as a percentage of sales was 43.7% compared to 42.5% for Q2. Turning to Q3 operating expenses recurring research and development, marketing and sales and general and administrative expenses came in as expected. However, the quarter was characterized by sustained high levels of legal fees associated with preparation for trials, now expected to begin in January, 2015 as well as charges we recorded for severance and related costs associated with the wind down of manufacturing in Sunnyvale, California totaling approximately $2 million. While total operating expenses increased as reported by 7.2% sequentially, excluding legal fees and severance charges, total operating expenses would have declined 2.4% and operating income would have been positive. Total headcount was 1043 at September 30, up from 1019 as of June 30. At the end of the third quarter 2013, a year ago total headcount stood at 993. The sequential increase for the quarter was largely made up of new temporary hires in manufacturing. Calculation of our tax benefit for Q3 was uncharacteristically straightforward reflecting this release of certain tax reserves due to the satisfactory completion of an IRS audit we recorded a benefit of $510,000. As discussed during previous calls we fully reserved against our deferred tax assets at year end 2013. The consequence being a near-term inability to create additional tax benefits from additional pretax losses we incur. Until we return to sustained profitability we will continue to report tax provisions accordingly. Turning to new orders third quarter bookings increased 14% sequentially. Total one year backlogs stood at $52.5 million at the end of Q3 versus $45.7 million at the end of Q2, increasing 15% sequentially with 67% of this backlog scheduled for shipments during Q4. Cash flow from operations for Q3 despite the net loss totaled $3.7 million, up from Q2’s $2.3 million reflecting the $2 million non-cash severance charge recorded and a positive swing in working capital. Note this severance will be paid out over the coming quarters on a bi-weekly basis beginning in 2015 based on the length of an employee’s service with us. Capital expenditures for the quarter declined slightly to $1.4 million from Q2’s level of $1.9 million reflecting the completion of certain projects associated with the chip production. Turning to our consolidated balance sheet, our receivables portfolio remains in excellent shape with day sales falling to 42 days from the prior quarter’s 47 days. Consolidated inventories quarter-to-quarter declined slightly with annualized turnover climbing to 4.35 times representing another new high. There were no meaningful changes to either AR or inventory reserves. Cash and short-term investments stood at $53.7 million at the end of the quarter, up from $51.4 million at the end of Q2. This figure excludes investment securities with a par value of $6.0 million carried on our balance sheet at an estimated fair value of $5 million, representing roughly 83% of par value. After the close of the quarter, we did receive an additional redemption at par value of $500,000. Turning to our expectations for the coming quarter, we are forecasting a small sequential increase in revenue. On a consolidated basis, we expect Q4 operating expenses to be lower in part because we do not anticipate any further severance accruals. In 2015, we look forward to a substantial reduction in legal fees following trial scheduled for January of IP claims by a competitor and of our counterclaims for misappropriation of confidential information and torturous interference. Now, I will turn the call over to Patrizio.
Patrizio Vinciarelli - Chief Executive Officer: Thank you, Jamie. As Jamie stated, Q3 was characterized by sustained order flow for our new 48-volt factorized power components, high shipments of these products, and margin improvement associated with higher volumes. As I stated last quarter, Vicor has began a ramp in volume of chips and SIPs for board level applications, notably for 48-volt applications powering Intel processors. Our initial focus is an opportunities in (indiscernible), but we expect meaningful designing activity for other applications, including processor and memory rails to accelerate through 2015. We are well along with applications for wireless infrastructure and defense electronics and are devoting resources to securing design wins in automotive equipment, aerospace and microwave. At the upcoming electronic trade show, we would be unveiling our first chip-based PFM, flanked by other novel front-end and next generation brick products, using BCM and BCM chips. In previous communications, I have highlighted our complementary power strategy comprised of chassis mount or front-end systems and board level component solutions. Depending on the customer requirements, the front-end system can be AC to DC or DC to DC. To address both, Vicor will be introducing a range of sophisticated power platforms incorporating chips within thermally and mechanically adapt packages that offer class-leading performance and cost effectiveness. Based on these views or these front-end devices which will increase in VIAs, short for Vicor integrated adapters, we expect a rapid uptake. We also expect that the combination of VIAs of the chassis level with chips and SIPs at the board level will truly differentiate Vicor as a provider of comphrehensive integrated solutions offering the highest performance of very compelling cents per watt metrics. On our front-end and next generation big products should revise our big business unit with its mass customization model based on a highly efficient and flexible manufacturing process. Vicor has developed sophisticated online design and configuration tools for use with our new power platforms to enable customers to benefit from the same mass customization capability that continues to differentiate our legacy bricks. While the BBU’s traditional bricks, remains the contributors to Vicor’s performance, customers will soon be offered new solutions with a state-of-the-art look and feel offering substantial improvement in efficiency, power density and scalability unmatched by legacy bricks and senior offerings from Vicor’s competitors. VIA front-end systems, chip modules and SIP regulators along with complementary product offerings will give Vicor a product range and equal in the industry fully implementing our vision for a power system design methodology leveraging modular components to provide customers with a performance, cost effective solutions in a much faster time to market. Once again, I affirm my prior enthusiasm and commitment to achieving a strategic goal of leading a transformation of the industry to our modular solutions to power system requirements. With our intellectual property portfolio know-how in the arrival of cost effective high performance modular building blocks, Vicor is uniquely positioned to make the most of a multi-billion dollar market opportunity. I am as confident as ever regarding our future. This concludes my prepared remarks and Jamie and I will now take your questions. Operator?
Operator: (Operator Instructions) And your first question comes from the line of Jim Bartlett (Bartlett Investors). Please proceed.
Jim Bartlett - Bartlett Investors: Yes. Could you give us an update on the litigation and the movement from October trial to January trial?
Patrizio Vinciarelli: So, there is large number of motions pending with the Court and the Court decided that to properly address all these motions. You would need additional time precisely until the end of October, because of that the schedule of trial was reset from in October – an early October date to sometime in the month of January.
Jim Bartlett - Bartlett Investors: And what were these motions related to? And were these your motions or SynQor motions or both or?
Patrizio Vinciarelli: There were motions from both. And I think of the key motions about which the Court heard from the parties and this was several weeks ago related to Vicor motion to find certain claims asserted by a competitor to the investment than such invalid and other motion to find the base of the claims not infringed and a motion that was brought by SynQor to have our counterclaims dismissed.
Jim Bartlett - Bartlett Investors: What is happening to the SynQor Cisco trial?
Patrizio Vinciarelli: The SynQor Cisco trial is progressing on a separate track, because the cases had been severed. And the other trial and the timing of the trial will be set by the Court later this year.
Jim Bartlett - Bartlett Investors: So, there is no date on that?
Patrizio Vinciarelli: Well, there is no date on either trial. So, we will await a decision of the Court with respect to both.
Jim Bartlett - Bartlett Investors: Also given all the news what’s going on with IBM, could you just review with this Vicor’s business with IBM, with the both with the datacenters and then their high-end servers, the power architecture and where you stand and what the type of the changes that IBM is going to go through? How is this affecting Vicor?
Patrizio Vinciarelli: Well, I think I can comment with respect to that, which is in the public domain. I think we have all seen recent announcement of IBM to divest the semiconductor business. That staff does not bear on IBM’s leading role with respect to high-end servers nor does it stand in the way of a continued opportunity for Vicor with factorized power solutions within IBM systems. So, we look forward to further opportunities in the future to enable IBM to achieve levels of power density and efficiency in high-end servers that cannot be achieved with any competitive technology.
Jim Bartlett - Bartlett Investors: And how do you see move their datacenter progress and Vicor’s…
Patrizio Vinciarelli: Well, I really can only comment in very general terms with respect to the fact that as we all know it’s a complex landscape. The nature of the kinds of solutions are being provided to customers is changing. We all know that more and more solutions are going to be and services are going to be provided through the cloud and IBM as others are moving into that space as well as I think we can all imagine maintaining the attritional expense with respect during the case of IBM supercomputing platform.
Jim Bartlett - Bartlett Investors: Alright, thank you.
Operator: Your next question comes from the line of John Dillon (D&B Capital). Please proceed.
John Dillon - D&B Capital: Hi Patrizio and Jamie. First of all, really congratulations on an awesome quarter, congratulations to the whole team actually, because it really is pretty remarkable.
Patrizio Vinciarelli: I wonder what you will say once we start making money again.
John Dillon - D&B Capital: Well, the way I look at it if you take the one-time piece you did make money and the cash flow was up substantially so that was really nice to see your revenue was up, your bookings were up substantially, your gross margins are up, your gross margin as a percentage of revenue is up and without the legal fees and severance it looks like you are positive EPS is that right Jamie, did I read that right?
James Simms: That is a reasonable inference.
John Dillon - D&B Capital: So a good job anyway. So a couple of things, just one question on the legal front, what’s the worst case that could happen here, is the worst case you write a check and save $3 million a month on legal fees or is these another worst case or?
Patrizio Vinciarelli: Well, this is a wide range of outcomes. And I am not going to get into specifics today but I would say that I am as optimistic as I have ever been with respect to positively favorable outcome for Vicor given the facts and what’s come out of our intense discovery process. I think however, competitor who has opted to interfere with our business in the marketplace by bringing baseless claims knowing that these claims are baseless has got a high yield to claim to win against us. And going the other way, we believe we have claims that have merit, particular counterclaims that have merit. So, we especially wait for justice to be done.
John Dillon - D&B Capital: Okay. Back to the business aspects, do you expect your bookings will keep up in the next several quarters?
Patrizio Vinciarelli: We think so, yes.
John Dillon - D&B Capital: So do you feel like we are at the inflection point now that we have been waiting for?
Patrizio Vinciarelli: We have had a recent gathering of our worldwide sales managers and the outcome of that gathering which took place a couple of weeks ago is a milestone that is within reach, that is an early milestone to our 3-by-5 goal that we have discussed in the past. It is a near-term goal that we feel highly confident of being able to achieve in the early part of 2016. And as of that time without mentioning the revenue level I will say that we expect to be with high confidence at the revenue level that Vicor has never reached before and which would represent a breakaway level for us or in many respects we will be playing a different ballgame not just in terms of the perception by the flasher community, but most significantly in terms of the perception within the industrial large in terms of critical mass on a number of different fronts with a number of different customers and applications.
John Dillon - D&B Capital: Okay. And along those same lines you talked about more expansion, can you talk about that more capacity you want to bring on, are you talking about different facilities, you are just talking about more capital expenditures you are going to be spending on or?
Patrizio Vinciarelli: Well, we are going through a process of enhancing our progress and streamlining our operations where appropriate, where rational as a stepping stone to an expansion phase that would come once we have made revenue of our Andover facilities. So within which we have significant room for growth. But we are beginning to look beyond the capacity of primarily 250,000 square foot facility in Andover.
John Dillon - D&B Capital: Okay. And again along that same lines you have – there were some adds in the months for temporary workers for first, second and third shift and I heard temporary mentioned also in your prepared remarks, is that because you see a spike in the business and you expect that to kind of taper down some or why are these workers temporary, I guess this is what I am asking?
Patrizio Vinciarelli: Well, with the chip manufacturing as you can imagine, we are sealing the phase, what we are going through a significant frap at the steep slope over relatively short timeframe. Our efficiencies in terms of equipment and automation are still short of what they are going to be. So, as we deploy some additional key pieces of automation and tools that increase operational efficiency, the demand for labor content per unit will go down. I just earlier today, we got an update with respect to some of these initiatives having being completed there. So, as you can imagine it’s a bouncing act in terms of doing what we need to do, in terms of supporting the capacity from it, while at the same time making sure that we are doing it over time in a most cost effective and efficient way possible.
John Dillon - D&B Capital: Great. So what I think I am hearing from all the remarks and everything is that, you expect your revenue to continue to grow but because of our productivity improvements, you will be able to either keep the same number of employees or actually trend down a little bit and just improve your efficiency?
Patrizio Vinciarelli: Yes. We expect our efficiency to improve as we get a little further along with the ramp.
John Dillon - D&B Capital: That’s outstanding. Great, alright. Congratulations again. I am going to jump back in the queue and let someone else ask some questions. Thank you.
Patrizio Vinciarelli: Thanks.
Operator: Your next question comes from the line of Don McKenna (D.B. McKenna & Company). Please proceed.
Don McKenna - D.B. McKenna & Company: Patrizio, you mentioned hitting the revenue levels that Vicor has not seen before, but I didn’t remember hearing the timeframe on that, what did you expect that that might happen?
Patrizio Vinciarelli: Well, what I said is that, we expect to be at a level – above the level that we have ever reached, that it will be perceived not just by the flasher community, but more significantly by the markets in which we operate as a critical mass. And…
Don McKenna - D.B. McKenna & Company: Yes. It’s 2015…?
Patrizio Vinciarelli: I am not going to say what that level is, at the – until earlier, I will confirm that this is expected to happen at the beginning of 2016, with a very high confidence level.
Don McKenna - D.B. McKenna & Company: Is that 2016?
Patrizio Vinciarelli: Yes.
Don McKenna - D.B. McKenna & Company: Thank you. I also wanted to ask you to going back to the legal issues, have you guys gone through a mediation process, required by the court?
Patrizio Vinciarelli: Yes, we did.
Don McKenna - D.B. McKenna & Company: Okay. I wonder – I am sure you’re aware, John Dillon put out a little research report on the company and my experience over the years is that people that do, do that typically run by the company first, not necessarily for a total concurrence by the company, but the company would typically identify if they thought the person doing the research report was way out of line, did that process take place?
Patrizio Vinciarelli: No.
Don McKenna - D.B. McKenna & Company: Okay.
Patrizio Vinciarelli: Nice try.
Don McKenna - D.B. McKenna & Company: I am sorry.
James Simms: Nice try that...
Patrizio Vinciarelli: Yes, we have not…
Don McKenna - D.B. McKenna & Company: Well, I wasn’t asking you to agree with that. I was asking if he had to run it by you first?
James Simms: John knows better.
Don McKenna - D.B. McKenna & Company: How about – can you give us a quick little update too, on the 4a filings, you all went through today, what did that shake out to me that you weren’t quite able to do all the options that you had originally did last year?
Patrizio Vinciarelli: Well, that actually captures that it was 2013, not that we had mistakenly awarded to the three individuals, myself included for which we have the amended Form 4s. So, we took care of the paperwork over the last couple of days to set the record straight as to what options were in fact awarded?
Don McKenna - D.B. McKenna & Company: Okay. And if I could ask one more before I jump back into Q2 on I see a lot about the government allowing military sales to foreign countries now. So, folks like Raytheon are able to ship some of their Patriot missiles and what have you? Does that going to benefit you?
Patrizio Vinciarelli: Well, I think you saw regularly we have had significant reliance on defense business. You appreciate that our strategy over the last several years has been to diversify away from defense. That’s not to say we are abundant in defense, we are continuing to be a major player. And of course the vast efficiency, scalability of chip SIPs make our products and solutions particularly attractive in applications that are challenging in terms of lightweight density, which is a characteristic requirement of defense applications. So, we are continuing to be a factor there, but we are also very much focused on expanding our business across different markets, markets that may not suffer from the kind of cycle that we see in defense in recent times. So, we are keen on having a very diversified customer and market base. We are very keen on leveraging our unique technology to achieve not just high-performance, but extremely cost effective solutions that can power not just IBM processors, but Intel processors and memory sockets that are very costly even, but of which very, very large quantities get deployed. We think that’s key to long-term success in the power system business. And that business over time is going to involve a lot more electronics in automobiles in particular than defense applications.
Don McKenna - D.B. McKenna & Company: Okie-dokie, thanks.
Patrizio Vinciarelli: Thank you.
Operator: Your next question comes from the line of Alan Hicks (Ainsley Capital Management). Please proceed.
Alan Hicks - Ainsley Capital Management: Yes, good afternoon and congratulations on a good quarter. It’s better than I expected. My question is in the last 7 years or so, correct me if I am wrong, but you have spent roughly $500 million on R&D for the various new products you have been developing, is that correct?
Patrizio Vinciarelli: That’s somewhat high. We are talking about in other menus which is in that ballpark, but I think as of last count, it is somewhere between $250 million and $300 million.
Alan Hicks - Ainsley Capital Management: Okay, thank you. But so going forward do you expect to keep expanding at this high level and continue to grow the R&D?
Patrizio Vinciarelli: Yes. Our business model is not one of a company that traditionally has operated in the power space with minimalistic investments in R&D or another company that copies other company’s products. We invent, we innovate, and on that basis, we command the margins that grow with fundamental innovation and invention. So, that’s the heart of our business model. That’s what has made us successful at various levels at different points in time, but fundamentally going forward, we see that model as the winner in terms of high margins and high level of profitability as we achieve critical mass in terms of revenues and can benefit from the economies of scale that come with that. So, our business model balls down to being able to deliver a high value proposition to customers more and more by way of not just high performance, but a growing level of cost effectiveness with products that can afford relatively high margins, while at the same time support an ongoing investment, significant investments in R&D at the level of 15%, 16%, 17% of the top lines.
Alan Hicks - Ainsley Capital Management: So, you have also made comments in the past about growing revenues, I think it was three times in five years.
Patrizio Vinciarelli: Yes.
Alan Hicks - Ainsley Capital Management: Which was roughly put in the range of $600 million or so, what kind of – if you are able to achieve that, what kind of gross margins and operating margins do, would you – what range would you expect?
Patrizio Vinciarelli: Well, it must be this way, with some of our new products we are achieving margins levels conceivably higher than any Vicor product ever achieved. And I will go back to the early going of Vicor with it’s value bricks in the 80s and 90s and would have achieved margins in the 60%, 65% range. We have products, not all products with – which represent a tremendous product position to customer, that very cost effective and yet support margins considerably at both the level. That was an essential part of our business model going forward. We have made the kind of investments you alluded to earlier, we are lower than that, but $250 million, $200 million, we have 140 or so patents, we have a tremendous technological capability and the measure of that ultimately is high margin and high profitability.
Alan Hicks - Ainsley Capital Management: Alright. I know back and I think it was late 90s, you achieved over 20% operating margins, do you think that’s achievable again?
Patrizio Vinciarelli: Yes. Obviously, we are trying to see the sales mature a lot since those days. And today, as you know competition in many ways is a lot powerful than it used to be. And many companies have a difficult time, they stagger with it. They don’t know how to deal with it. That’s not the case for Vicor. We have always known how to compete. We have always known how to leverage our own ingenuity, to give us a competitive advantage. And I think what we have been focused more and more over the last several years with investment we made is in realizing a win-win proposition with our customers, where we enable them to leverage tremendous performance, cost effectively while enabling us to capture a reasonable return on our investment.
Alan Hicks - Ainsley Capital Management: Okay. Well, thank you very much and congratulations on the progress you have made.
Patrizio Vinciarelli: Thank you.
Operator: Your next question comes from Dick Feldman (Monarch Capital). Please proceed.
Dick Feldman - Monarch Capital: Good afternoon guys and thanks for taking my question. And I hope the progress can continue. I have a couple of questions. The first is you made reference to new customers and new applications in your written remarks, I wonder if you could flush that out a little bit more?
Patrizio Vinciarelli: Well, I am not going to name names, but let me give agile level some example of recent progress. So, we had a team just come back from Asia, what they have reported, design activity, the design wins for VTMs and PRMs and factorized power solutions in powering the Intel processors in applications involving new customers and new kinds of opportunities. So, that’s an example of progress where early wins are paving the way for more design wins. Another area is micro-cells. We have a number of opportunities in the channel area. I made reference to automotive customers in the past. We have activity going in the channel space. So where we are at now is we are harvesting the effort of many years in developing revolution in new products. These products are coming out and they are enabling customers to take power systems to a new level of density efficiency and cost effectiveness. And with that, we see tremendous opportunities and we see the opportunity over the next five years to really make a difference in terms of changing the way the industry – the power system industry is traditionally operated. We are seeing it from a number of different fronts.
Dick Feldman - Monarch Capital: You said you are okay on capacity right now as far as the chip business is concerned, VIA chip. How much spare capacity do you have and at what point must you look at adding capacity in? And as you add capacity, can it be added in small increments or and give us some ideas to the expenditures involved?
Patrizio Vinciarelli: So, capacity can be added in the increments that would typically represent a significant percentage of existing capacity. That’s the logical way of doing it. So, a logical increment would be a double-digit increase in capacity, not a few percent to be clear. I think that high level of capacity can be brought about based on past experiences in a timeframe that is consistent with the visibility that we have with a growing multiplicity of customers we are doing business with. So, 6 months to 9 months is a typical timeframe for deploying a significant incremental capacity, 30%, 40%, 50%. More and more, we are focused on the scalability of the equipment, the processes and the ability to in fact step and repeat with a quick gather approach what is being deployed in terms of the basic sales that makeup our limited lines. To the extent possible, these are a piece of equipment of that standard and can be procured from our vendors less unless they are unique, but we do have some fraction of the equipment underlying that given the unique attributes of our packaging technologies are needed to enable us to manufacture the product with no or minimal of the intervention. So, to the extent possible, we focus on standard equipment obviously for SMB assembly. We use standard SMB assembly equipment in sales. We used other kinds of standard equipment, but what necessary we do not shy away from the need to work with vendors to make available unique equipment that can be scaled up in terms of copies of those particular equipment choices, and these all are done with scalability in mind. So we have I’d say a level of maturity in our manufacturing operations that has grown over the years. I am particularly proud of it. We have been able to accomplish a lot particularly within the last year with the ability to step up to capacity challenges or process challenges and do what’s necessary to address the business needs. That’s I think part of the strength of the company at this point in time, it’s not just one of unique power processing technology, novel power processing engines. I think significantly it has to do with the ability, the enterprise to deal with the many facets of the challenge. And I think it’s their overall capability that gives us the confidence that we have with respect to the growth in years to come.
Dick Feldman - Monarch Capital: I wonder if you could give us any kind of guidance as to the financial commitment needed to expand capacity, is yours a capital spending light model?
Patrizio Vinciarelli: Well, that’s something else that we have gathered and battled out over the years. I remember without a generation of products that the relationship between the level of capital equipment needed to support certain increment of yearly revenues and those revenues that percentage being a lot higher than we have been seeing with our new generation of products. In other words, gather and battle at driving the equipment cost and the cost structure in terms of depreciation down to levels that make for a relatively short ROI proposition. So, we are not concerned with respect to our ability to finance the growth in terms of capacity over the next couple of years, I think depending on what happens in 2016 and beyond. I can foresee – we can foresee scenarios, where we might want to account to the capital markets to finance the next level of growth, but we are still far away from having to take this.
James Simms: Yes. Dick, it’s not like we are going to build the wafer fab. We don’t have $1 billion commitments to increase or capacity on a step function. We have, I wouldn’t use your term, capital light, but I think it’s not inaccurate. If you look at our capital expenditures over the last several years, well, we have established significant capacity for our new chip platform spending no more than $2 million a quarter in CapEx.
Dick Feldman - Monarch Capital: I agree. That’s what I was thinking about. And I was thinking that it would not be inconceivable that you could experience both a rapid ramp in volume and at the same time you start throwing off lots of free cash?
Patrizio Vinciarelli: Yes, but I think we should also be even prefer a scenario, where it might be time to establish a manufacturing presence outside of Massachusetts with a large incremental capacity, essentially an alternate source factory possibly in Asia and that step might be aligned with an opportunity in the financial markets to raise substantial capital.
Dick Feldman - Monarch Capital: One last question and then – and that is a question that you raised in the answer to mine and that is do you have any issue with customers as to the fact that at the moment the product is unique and you are the sole source?
Patrizio Vinciarelli: If there is an issue with some customers, it’s not an issue with most customers. We are approached frequently by companies looking to play a role with respect to that, take a license, provide an alternative source, so we are very much tuned into the issue you are alluding to. And over time as unique components get more and more traction in a variety of end markets particularly with certain end markets we are an alternative source at least from not a manufacturing facility would be a must, we would be addressing that issue. So this is something that is very much on our other screen, it is on the other screen to your point of some of the customers.
Dick Feldman - Monarch Capital: Okay. Thanks for answering my questions and I will give someone else the chance.
Patrizio Vinciarelli: Thank you.
Operator: Your next question comes from the line of Jim Bartlett (Bartlett Investors) Please proceed.
Jim Bartlett - Bartlett Investors: Patrizio, you said you had a very high confidence level of that 2016 leading whatever that critical volume is, is that – could you give us some insight on why you have such a high confidence level, is that the pipeline, is customers that are queuing up, did you see this coming? And another, a shorter term part of that given everything and all the momentum we are seeing to have, I am sort of surprised that the guidance for only a small sequential increase in revenues in the fourth quarter?
Patrizio Vinciarelli: Well, so the fate of the fourth quarter is largely driven by the bookings of the third quarter and leading up to the third quarter. So we are in a certain phase. I think when it comes to the earlier part of your question relating to where does the confidence level come from, I am going to in effect reference the input I received from the teams have gathered to address this issue just a couple of weeks ago. And their conclusion was predicated on the engagements we have with existing customers, with new customers, designing activity, products that had been introduced and are about to be introduced. So it’s that combination of inputs that led them to forecast with respect to the revenue level that is being referenced. And that’s a level that was characterized there to be 90% confidence as of Q2 of 2016 with a 50% confidence level of being able to achieve it by Q1 of 2016. And again this is a milestone that represents a major step forward towards the achievement of the 3-by-5 that we have been discussing in the past.
Jim Bartlett - Bartlett Investors: Just on – it’s always been difficult for me and I think for others when you make new product introductions and when you are starting generating revenue from that. And I was taken by your comments on VIA of a very rapid uptake and I don’t know that I have heard you say that before, could you give us some more insights into VIA and why a very rapid uptake and better understanding you say in that and now that you have that in the chassis level to go along with the board level?
Patrizio Vinciarelli: So, that’s I think an insightful question. And just being the answers to do with the fact that, let’s take as an example, the designing cycle for factorized power solutions in the past, let’s say, with the hand servers, that was a process that lasted a little over years 2, 3. And I think we are going to understand why it takes that long, because a customer designing in a board level solution, particularly one that relies on a novel power distribution architecture has got a lot of work to do and it takes a lot of vision, it takes a lot of guts and it takes a lot of time to implement. So, some of our products the ones that are in a way most of us particularly board level products have initially relatively long gestation period in terms of designing cycle from early engagement to volume production. The VIA products that we are referencing are in a different category, because of the fact that these are essentially chassis mount products. They get bolted down on a chassis for mechanical and thermal management. They interface with the rest of the power system by very simple cables, an input cable and an output cable that may distribute 48 volt or some other bus voltage to the motherboard. By their nature, front end systems of this kind, VIA products have a much sharper gestation, because in particular when customers have a need, because their existing solution doesn’t work or because their solution may not provide the level of power complement to outputs that they need. They are going to have all themselves of a chassis mount solution with a much shorter cycle time than designing a whole board-based power system. So, having a VIA product capability with the level of density, efficiency and cost effectiveness that our new platforms provide gives us a new way to engage customers in a complementary solution to the power system requirements, which has imminently shorter designing cycle times. It also plays synergistically with the motherboard point of load solutions in that with the combination of VIA products and PRMs, VTMs either in chip form or SIP form, customers can for the first time address their total power system requirements from the wall plug or the battery from whatever power source they happen to be operating with to the point of load with a level of synergy and integration that no other power – no other company, but I think in our space as what those two offer either from an intellectual property perspective or from the perspective of having the products.
Jim Bartlett - Bartlett Investors: And your introductions by rapid uptake then for VIA, that product line is introduced, then you should start seeing revenue from – reasonable revenue from it, when?
Patrizio Vinciarelli: Well, I think we are going to be seeing some of these new VIA products go into volume production as early as nine months from now, which for our industry is on the short side of the designing cycle. And I am referencing applications where we already have inroads with our earlier generation PFM, which is not a VIA product and which is relatively costly and which has relatively lower performance than the new PFM-based VIA product that we are going to be introducing to electronic. So, we already have interest by some of these customers in that new product.
Jim Bartlett - Bartlett Investors: Just on one other product, your second generation datacenter product, which one company is – customer is ramping up on that. I would think this would be a major enticement for another datacenter customer in the same – for the same product set, how soon do you think that could be?
Patrizio Vinciarelli: It depends on the particular customer and application, but let me put it this way, just within the last two weeks I have seen two different customers with activity involving the same chips that we are setting out production with the datacenter application that you are referencing.
Jim Bartlett - Bartlett Investors: It sounds good. Thank you.
Patrizio Vinciarelli: Thank you. We might take a last question if there is one.
Operator: And our next question comes from Don McKenna (D.B. McKenna & Company).
Don McKenna - D.B. McKenna & Company: Jamie, the – if I did my numbers right, it was looking like your incoming orders last quarter were in the range of about $65 million for about a 1.12 book to bill. You mentioned that 67% of the backlog is shippable in this particular quarter, is that typical?
James Simms: It’s not atypical. I don’t mean to hedge. We actually have had a transition as you may recall, it’s for VI Chip products, it’s been a much longer lead times than we have had with our brick business and that lead time has been shortened, continues to shorten and we are looking at a great deal of demand, such that we have had pull-ins for the quarter. So, the number will actually be better than the 67% reported, but that’s common. Turns business is an important part of any electronics manufacturers’ quarterly revenue stream.
Don McKenna - D.B. McKenna & Company: Thank you. And finally two if I may, I know, Liam Griffin is a board member. He is also with Skyworks, which is a very successful company. Do you have a business relationship with Skyworks?
Patrizio Vinciarelli: All I can say is that Liam is on our board, you can ask him.
Don McKenna - D.B. McKenna & Company: Okay, thank you very much.
Patrizio Vinciarelli: Thank you.
Don McKenna - D.B. McKenna & Company: Yes, good going too. I really am happy to hear what I heard today.
Patrizio Vinciarelli: Thank you and we will talk to you in next few months. Bye-bye.